Operator: Greetings, and welcome to The Hershey Company Third Quarter 2020 Question-and-Answer Session. At this time, all participants are in a listen-only mode. As a reminder, this conference is being recorded. I'd now like to turn the conference over to your host. Ms. Melissa Poole, Vice President of Investor Relations for The Hershey Company. Thank you. You may begin.
Melissa Poole: Thank you. Good morning, everyone. Thank you for joining us today for The Hershey Company's third quarter 2020 earnings Q&A session. I hope everyone has had the chance to read our press release and looked into our prerecorded management presentation, both of which are available on our Web site. In addition, we have posted a transcript of the prerecorded remarks. At the conclusion of today's live Q&A session we will also post a transcript and audio replay of this call. Please note that during today's Q&A session we may make forward-looking statements that are subject to various risks and uncertainties. These statements include expectations and assumptions regarding the Company's future operations and financial performance, including expectations and assumptions related to the impact of the COVID-19 pandemic. Actual results could differ materially from those projected as a result of the COVID-19 pandemic, as well as other factors. The Company undertakes no obligation to update these statements based on subsequent events. A detailed listing of such risks and uncertainties can be found in today's press release and the Company's SEC filings. Finally, please note that we may refer to certain non-GAAP financial measures that we believe will provide useful information for investors. The presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Reconciliations to the GAAP results are included in this morning's press release. Joining me today are Hershey's Chairman and CEO, Michele Buck; and Hershey's Senior Vice President and CFO, Steve Voskuil. With that, I will turn it over to the operator for the first question.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Andrew Lazar with Barclays. Please proceed with your question.
Andrew Lazar: Great, thanks so much. Good morning, everybody.
Michele Buck: Good morning, Andrew.
Steve Voskuil: Good morning.
Andrew Lazar: Hi. I'm curious, for the past several years, Michele, the majority, if not all, of the company's organic sales growth has come really from pricing, as opposed to volume or consumption growth, and much of this is obviously due to the success of the company's new pricing model and the associated volume elasticity that comes with it. I guess, that said, as you look forward into '21 and beyond I'm curious if there is a sort of focus internally on maybe regaining some better balance between the two drivers, and if so, would you expect to see some of that maybe develop more fully next year? Thanks so much.
Michele Buck: Yes, Andrew, absolutely. I think we've shared before that we do view pricing as an important part of our growth algorithm, but we are very focused and would like to drive to greater balance between price and volume. We have good visibility into Q4 and 2021, and we do expect volume trends to improve. Part of that will be us lapping some of our pricing elasticity from last year, and also a continuation of some of the strong share gains that we've seen to date that will carry into the first part of next year. I think you can definitely count on seeing volume being a more important part of the algorithm next year, and we feel good that the calendar of programming we have, the innovation, the media is really going to help to drive some of that.
Andrew Lazar: Great, thanks very much.
Michele Buck: Thank you.
Operator: Thank you. Our next question comes from line of Ken Goldman with J.P. Morgan. Please proceed with your question.
Ken Goldman: Hi, thank you. Along the same lines of 2021, if I can, Michele, you pulled back a little bit on advertising this quarter. It's been a little up and down this year for understandable reasons. I'm just curious what your thoughts are in general on what the company's plan is for advertising and marketing in general as you get into what hopefully will be a more normal year in 2021.
Michele Buck: Sure. So we definitely believe in investing in our brand. That is a critical piece of our growth model and the business. So clearly, as we mentioned to you, we had pulled back on some spend in areas where we just thought, given the pandemic, it didn't make sense. For example, in refreshment, where we knew consumer usage was down significantly, but as we look to 2021, and as we've started to see the momentum that we're seeing and some of the recovery, we definitely plan on taking our investment levels to where we would like them to be, and more in line with where they have been historically. So you'll see us really gleaning in to drive the consumer and to leverage some of the behaviors that we're seeing.
Ken Goldman: Thank you, and then for a follow-up, you didn't do any share repurchases this quarter. I think that's the first time in two years, and that was -- the last time was right before you bought Pirate's Booty. I want to ask if the lack of repo is an indication of a pending deal of course, but I am curious how you would describe the current environment for potential transactions. I guess particularly are targets maybe more willing to sell because they can do so off a higher sales number than usual, or are they more hesitant because they I guess kind of want to ride this demand wave as long as they can?
Michele Buck: Steve, do you want to take that one?
Steve Voskuil: Yes, I'd be happy to. So first, just on the share repurchase, I will just echo what you said. Don't read anything into that. I would say for this year we have taken a little bit more cautious approach to liquidity in general, going back to the beginning of the year, and the COVID phase, just taking a little bit more cautious approach. We will be revisiting that as we look at next year, and I would say in general our capital allocation priorities haven't changed. With respect to M&A specifically, it's probably more the latter. I think people are still -- the ones that are the most interesting are riding the wave, and they still have valuation expectations that look like they did pre-COVID, if not higher, but I would say we're continuing to have an active funnel, continue to look at a number of opportunities, and we'll continue to update the market as appropriate.
Ken Goldman: Great, thank you both.
Operator: Thank you. Our next question comes from the line of Robert Moskow with Credit Suisse. Please proceed with your question.
Robert Moskow: Hi, thank you. I think the recovery expected in 2021 in International and Other is -- you have a 2% headwind this year in 2020, but can you give us a little bit of color as to the condition of your business in Mexico, and India, and China, and is it easy to assume that things can go back to normal or has the pandemic impaired your commercial capabilities at all or the retailers' desire to merchandise confectionary products in those markets?
Michele Buck: Yes, so first of all, I'd start by saying certainly there's a lot of uncertainty and volatility with the pandemic. We all know that we're seeing the ups and downs of occasional increases and spikes in markets around the globe. That said, I would say that we were pleasantly surprised by our performance in International. Our team did a great job executing in this very challenging environment, and I think that we've seen, while each market is a little different and the use of the category is a little bit different, consumers are really looking during this time for brands they trust, and we've done a great job over the past couple of years building the Hershey equity. So we were pleased with the rebound we saw in many of our markets. I think in mentioned in India our business was up 6% versus it had been doing. We gained market share across almost every market on our core chocolate category. So I wouldn't say that we believe our ability to drive the business has been impaired in any market on a permanent basis. Just as we are pivoting in the U.S., I think we've pivoted to where the opportunities are in international, and we feel good about the recovery, and plan to deliver against that.
Robert Moskow: Thanks. Can I dive a little bit deeper into Mexico, are there any packaging requirements that the government is making on nutritional values or any concerns about the category, how that might impact the category?
Michele Buck: Yes, absolutely. So the government did put in place front-of-pack labeling changes in Mexico, and that new packaging is now in the market, and we are beginning to monitor the trend. We believe consumers know our category is a treat, they know it has sugar, and so, we expect that we'll see less impact from that than perhaps other categories will, but we will, of course, keep a close eye on that, and I would say Mexico has been one of the harder-hit developing markets relative to COVID. So, we feel good about the progress we're seeing, but it's a little slower than some of the other markets.
Robert Moskow: Okay, very good. Thank you.
Operator: Thank you. Our next question comes from the line of David Palmer with Evercore ISI. Please proceed with your question.
David Palmer: Thanks. Good morning. A question on your share gains in the U.S., and particularly in chocolate. You really, and in your prepared remarks, you touched on this how adaptive you were by market, by channel, by need state and then in terms of S'mores, and some of that is related or might be related to supply chain. Could you talk about that part of it? And then I think the reason I'm asking is because if there is a supply chain breakdown or lack of adaptability by a competitor maybe that will represent share gains that they can reverse somewhat in '21, and I have a follow-up.
Michele Buck: Yes, absolutely. So I would say I believe our share gains are a testament to both our strong brands, our consumer understanding our programming as well as to the supply chain execution, and execution at retail, both of which tend to be core advantages for us as a company. So I think we're seeing our categories and our brands are definitely resonating with consumers, and as you mentioned, we really pivoted with the consumer. So very early on we tried to understand how consumer behavior was changing, and we've talked to all of you before about the fact that our category split is a third, a third, a third take-home, instant consumable, and seasonal. And as we saw consumers shift to more at-home behaviors we very early on shifted the focus in our portfolio to really dial up S'mores, Twizzlers for movie nights, our baking product activity, and then within the season, even with Halloween we made that decision to lean in, and drive, and build a Halloween season versus back away from it, and everything related to that relative to let's set the season early so we can get consumers in, in pre Trick-or-Treat, let's make sure we were smart about the portfolio that's out there, and not overly index to seasonal skews, et cetera, and then we worked really hard on messaging, to message consumers safe ways to celebrate the holiday. We dialed up ecommerce as consumers shifted to ecommerce, and because we had invested in capabilities in that we were able to do that. And then I think a lot of the strong investments we've made in other capabilities over the years helped us during this time to execute well, and some of those go beyond supply chain. So we've made investments in better understanding consumer trends. We've made investments in our ability to forecast at a much more granular level. We've made media investments to target better, and certainly we've invested in our plants all along the way, which really enabled us to pivot quickly to safety protocol, and really be able to continue to execute, and then we made the decision to keep our retail sales team at retail sales. As I think about that share gain, I would clearly -- we would expect to continue to see share gains clearly through the spring of '21. We would expect that they would moderate after that, that we're certainly expecting to hold on to share, and we will continue to drive our outstanding programming, and also continue to execute supply chain with excellence.
David Palmer: That's helpful. Thank you, and then, just on -- any sort of one-times from this year that we should be thinking about from model perspective, I'm thinking about COVID related friction costs this year, but also you might add back some SG&A in parts and other -- so, any one-time type comparisons that we should think about. Thanks.
Steve Voskuil: Yes. I think we talked about it in the prepared remarks. On the top line, we had about a two point impact. So, you can right away say there's a drop through that two point in profitability, but then if you take a look at the net of costs for COVID, so protective equipment and employee incentives that we had early in the year, and you net them against the DME optimization, the BD optimization that we did, as well as the T&E savings, it was a net -- slight positive on those two pieces, and so, that, we would expect to mostly go away. We'll have some lingering costs next year, probably less one-off in any quarter related to COVID, PP&E and so forth that continue, but net, it was just a slight positive outside of the 2 point drag on the top line.
David Palmer: Thank you.
Operator: Thank you. Our next question comes from the line of Chris Growe with Stifel. Please proceed with your question.
Chris Growe: Hi, good morning.
Michele Buck: Good morning.
Chris Growe: Hi. I had a question for you. If I look back at Halloween, I'm curious if you slipped this season apart, and you had given some information on this last quarter, sort of the early season part and the Trick-or-Treat season part, kind of how each piece performed, if you can give a little color on that? We have some information from IRI, but I'm curious if you have better information than we have, and then, I'm also curious, as I think about that early part, if that's more indicative of what you expect for the holiday season as you move into Christmas and that kind of time where you don't have a Trick-or-Treat event. Can that early season, if you start that season early in particular in stores, be more like what we saw in the early part of Halloween, if that makes sense?
Michele Buck: Yes. So, clearly, we saw that within the season, the early part of the season performed more strongly, and the later part that's more Trick-or-Treat focused performed a little bit softer. Now, we had anticipated that. So, overall, the season performed exactly in line with our expectations. As we look at the total season, we were quite pleased that our sales were actually up versus a year ago as was our sell-through up versus a year ago. So, during a time of the global pandemic I think it speaks to the resiliency of the category, and the consumers' desire to really hold on to and continue to celebrate the traditions, and fun occasions like this in their family lives. As we look at holiday, holiday has some different consumer dynamics than Halloween, and so, we believe it will behave a little differently. I don't think we're going to have some of the pressure that we anticipated coming into Halloween. The category should be quite strong. Consumers use the product in different ways. It's much more about family occasions. We aren't as big in gifting some of the areas of the category that might be a little bit more hard-hit. So, we expect solid results given that skew to at-home consumption.
Chris Growe: Okay, thank you, and now, just to follow onto that, are you shipping in holiday products early, and would that have been an incremental benefit -- do we see some of that in the third quarter more than we would have seen historically?
Steve Voskuil: Yes, we did -- just like we did with Halloween; started shipping in holiday a bit early, so you do get some pick-up in the third quarter for that, that will take away a little bit from the fourth quarter. Yes, maybe on the order, you have 50 basis points, and we also do that to drive the consumer behavior early as well, just as we did with Halloween, as Halloween was still on the floor, holiday was also out there, so that consumers could also gravitate to the holiday pretty quickly.
Chris Growe: A first symbol of… [Multiple speakers]
Michele Buck: Yes, strong Halloween sell-through really helps us because it helps us get that fast start to holidays because it clears the space to be able to put holiday on the floor.
Chris Growe: Okay. Thanks so much for the color there.
Michele Buck: Absolutely.
Operator: Thank you. Our next question comes from the line of Jason English with Goldman Sachs. Please proceed with your question.
Jason English: Hey, good morning folks. Congratulations on a good quarter first of all.
Michele Buck: Thank you.
Jason English: I want to pick up on the back of Chris' questions and tease out little bit more of the outlook on holidays going forward. The Halloween early part selling was phenomenally smarter much than I think any of us expected. I think a big part of that is due to the merchandizing programs that retailers had. Think they started bigger and earlier than they usually do. Has that you think influenced how they are going to approach other seasons going forward? Said more directly, you expect retailers to provide more merchandising power behind the category into holiday, into Easter than they otherwise would coming out of the success we saw in Halloween?
Michele Buck: So, we've always had pretty strong merchandizing support at every season, and one thing we always think about with season is when we get it on the floor because we know that consumers will buy that holiday or seasonal product whether it's Easter wherever early for in-home consumption. If you get it out there, it kind of sparks the trigger of fun moments earlier. So, I don't know that I could say specifically that we can anticipate that retailers are going to merchandize it even more than they ever have. I do think that they will be focused on making sure that they definitely get it out early to capture the early part of the season since that is the piece that is a bit more stable. There were a few retailers as you can imagine with the uncertainty of Halloween and the fact that all these decisions about what to do with Halloween really had to be made in early May when things were quite uncertain and schools were closed and bars and restaurants and all of that. So, there are few retailers who had pulled back on Halloween, and based on the results of the season this year, they will likely have more confidence going forward which should help to make even stronger Halloween next year and probably also build confidence for the other seasons like Easter.
Jason English: That makes a lot of sense, and then, one more question on the -- I am sticking with follow-on to Chris' questions which I thought was solid. The early part of the season versus the later part of the season, the early part of the season was exceptionally robust, and you said late part was a bit softer, but somewhere in your remarks I think you said all in total holiday, so both earlier part and late part finished mid single digits for the category. I think bathetically to get the category down in single digits, we're going to have to see some pretty sharp declines coming through the retail sales data in the next couple of weeks as we capture that late part of the season. Am I thinking about it right? Am I interpreting your comments correctly?
Michele Buck: Yes. Yes, you are interpreting them correctly. So, category was down mid single digit overall as much as our business was actually up, and, we will see some of those declines.
Jason English: Okay, thank you very much.
Michele Buck: One other thing that to just keep in mind, there is a little bit of a timing impact from the Nielsen and IRI data given the season was on the Saturday versus on Thursday and based on retail reported days. So, you'll probably even see it's down even more, and you'll have to wait till kind of mid November till you see some of those last couple of days being reported. So, some of it when you see will be just the timing shift of the day of the week, and some of it will certainly be the declines in Trick-or-Treat at the end.
Jason English: Understood. Thank you.
Operator: Thank you. Our next question comes from the line of David Driscoll with DD Research. Please proceed with your questions.
David Driscoll: Great, thank you. Good morning and congratulations on the great execution in the quarter.
Michele Buck: Thanks David.
David Driscoll: I had -- so two questions. The first one -- just two relatively small ones on the other expense commentary, I think the year-to-date period other expense is only very small number, but your full-year projection $100 - $110 million on that means it's a fairly massive number in the fourth quarter. Am I doing the math right? Is that correct on how the time lays up for other expense? And then related just another follow-up on your volumes expected in the fourth quarter, I think in your prepared comments, you said North American organic growth similar to third quarter are pricing only a half point. So that would mean volume is something like five percentage points positive in the fourth quarter. Am I doing those two piece right? Any color you can give on those two comments?
Steve Voskuil: Yes, I would be happy to do. So, on the tax side and other expense, you're exactly right. We will have a large other expense in the fourth quarter. Now that's consistent with what we have been seeing even in the early guidance earlier in the year, and then along with that, a lower tax rate in the fourth quarter to do the math on the tax rate you also have to solve for a lower tax rate, so that's how those two lines will play out, and yes, on the volume up in the fourth quarter, you're thinking about it the right way. We do have some inventory replenishment that will happen in the fourth quarter. We saw that in the third. We'll see some more of that or that continue into the fourth. We're also lapping some elasticity after the price increase last year and in this continued strong share gains. Those three things are part of driving that fourth quarter volume.
David Driscoll: Michele, like bigger picture question, first, you took pricing in most of the portfolio outside of seasonal candies in 2018 and then in 2019. Given the negative impacts to Halloween for the entire category, would you agree that now is probably not the time for seasonal price increase actions, maybe this gets delayed to 2022 or sometime later until we get a normal consumer environment? Essentially, I'm just asking you to assess your ability to pass through cost increases through pricing actions. It's a weird environment, and I don't know how it's altered that calculus. Thank you.
Michele Buck: Yes. So, obviously, I can't speak to any specifics about our specific -- any upcoming specific pricing actions. What I can say is there's been no change to our pricing strategy of smaller, more frequent increases, and that doesn't necessarily mean we're going to have the same amount of pricing every year or that we would always announce pricing at the same time. We did, for example, actually have a small price increase this past year on our food service business in the third quarter. So, if we look over time, we have been able to price at various times, at various economic conditions. So what's important to us is we do think pricing is an important part of our algorithm, but as we've talked about before, we really want to grow through balanced growth across levers, distribution, velocity, innovation, price, et cetera. So, we know that that is certainly the one piece of the portfolio that we have not yet priced, and I think it's fair to say that given that we haven't announced a price increase at this moment in time, the magnitude of pricing in 2021 would be less than we've seen in prior years at least at this point. We've been pleased that we've seen conversion be pretty good this year, even in a very difficult economic environment, and I think that continues to demonstrate what we've seen over the years, which is the category is very resilient. Our brands are strong. We continue to invest into our brands and that does allow us for an even greater amount of pricing power.
David Driscoll: Really helpful. Thank you so much.
Operator: Thank you. Our next question comes from the line of Steve Powers with Deutsche Bank. Please proceed with your question.
Steve Powers: Yes. Hi, thanks. Good morning, I guess building somewhat on earlier questions, I'd love a little bit more color around your general mindset heading into 2021 as you work through your planning process. Clearly there are parts of your business that have been under pressure this year, international, movie theaters, vending specialty, et cetera, and hopefully all those set up for at least directional recovery in the year ahead, but at the same time you've been gaining a lot of share, you've had great success in at-home categories like baking and with initiatives like S'mores, all of which is fantastic momentum, but again could set up for difficult year-over-year comparisons. So, as you size it all together, I guess, is there a way to frame your thinking at a summary level to what degree those various puts and takes sort of just met each other out in your mind? Or are you approaching 2021 planning thinking we've got either a net easier or a net harder set up versus what one like it sort of typical? Thanks.
Michele Buck: Yes, so, we're pleased with the momentums that we are seeing, and I would say, your call-outs in what you shared about some of the ups and downs on the business, I think, are very accurate. We believe we're seeing that our category and our brands really resonate with consumers and especially at a time like this, where they're looking for some of those moments of goodness, moments of happiness. We're really pleased with how we've been able to pivot with the consumer and also pivot with our capabilities to be able to execute within this environment, and we feel good about that momentum and our ability to continue pivoting. So, this year, obviously, it was consumer shifted to take home, and so, we dialed up S'mores and we dialed up Twizzlers and we dialed up baking, and we leaned in to create the season to make sure that we could capture that opportunity giving consumers new ways to participate in Halloween that frankly we believe those things like candy slides and candy graveyards, and all the creative things people did, will probably become a part of their ongoing traditions, and they have just evolved. As I mentioned, we were able to dial in and accelerate e-commerce, and I think as we look to next year, we're prepared if the consumer pivots yet again to be able to pivot with them, I think we've built and we've demonstrated ability to execute well during this environment, and also to pivot from an executional perspective, whether it's at retail, or in our manufacturing facility. So we're very focused on that, we've captured as well some cultural, positive effects, I think capabilities we've built in terms of operating in this environment that perhaps allow us to make decisions more quickly, and we think that is an enabler for us going forward. So we feel good about that as we look to the future.
Steve Powers: Thanks for that, Michele. I don't know if you want to take this one or Steve, but just as a follow-up, sort of unrelated, just any comments you might have on just current levels of promotion, the promotional environment, what you expect to see over the balance of 4Q and into '21? Thanks.
Michele Buck: Yes, we don't see any significant change relative to promotional activity. We didn't really see it this year, we didn't execute anything significantly differently, and nor do we expect to see anything in the future.
Steve Powers: Okay, perfect. Appreciate it.
Operator: Thank you. Our next question comes from the line of Nik Modi with RBC. Please proceed with your questions.
Nik Modi: Yes, good morning everyone. Michele, I was hoping you could provide some context on the partnership with Google that you use during the Halloween period, and do you believe this capability can be leveraged for this holiday season, but also kind of in your everyday business, as you kind of look forward?
Michele Buck: We're continuing to leverage different types of data and analytic and insights more and more across the business, and we continue to really try and stay on top of tracking consumer sentiment, and leveraging data and analytics to tailor copy to tailor messaging to tailor media. So more and more, we're operating at a more sophisticated level relative to using multiple data sources, and also using that to reach consumers at the right places, with the right message at the right time.
Nik Modi: And I guess what I'm trying to get at is, is this kind of new way of kind of targeting consumers like the return that you see from what you've done like, can you just give us any kind of understanding, because one thing I'm noticing across the entire CPG landscape is, companies are spending more money, but they're spending more money on the same message, and in fact, new consumers are being recruited, usage occasions are changing, and so it really requires a change in how you talk to those consumers, and so I find this, Google partnership incredibly compelling for you guys. So I'm just trying to get better context on how it's changing the return profile of your spend, you can provide any context on that?
Michele Buck: So we have a continuous focus on optimizing media and the returns on our media, we always have, we've had strong media ROI forever, and our challenges, how do we keep making them better, and then we continuously optimize based on that. So right now, it's a big spend area for us. So it's an area we're very focused on elevating, and it is about you making sure right now, I would say some of the biggest opportunity is that opportunity of even more precise targeting, and then once you have that target, the ability to alter the message so and then we alter our media mix accordingly, and I would say we see significant movement in that mix on a year-to-year basis as we get better at that, I think we've raised some of the opportunities of how we've gone just very deep relative to specific seasons, whether it's the S'mores by zip code, or whether it's specific holidays and looking at sell-through at the store level basis to be able to dial-up media on a zip code level basis. So you'll continue to see more of that, frankly, that's just becoming a way of how we operate now.
Nik Modi: Great, and last question, just from an innovation standpoint, can you just provide any context on kind of what's remaining in terms of innovation this year, and how things are going to work in 2021, if there's any clarity you can provide on the launch timing?
Michele Buck: Yes, so we feel very good about our innovation. Some of the innovations that we're excited about that are new to the market include the Reese pretzel product, a Reese cup with pretzels in it. We've had a range of Kit Kat flavors. We know on a global basis a big part of the Kit Kat portfolio, our flavors, they tend to do quite well. We are on a very small level launching snack cakes under our Reese's trademark which delivers that Reese experience in a slightly different type of product form, and we feel good on that, versus based on some of the early test results, and we will have more coming. Some items on our take-home side of our business, that won't get announced till early next year which is typically the time we announce those things just given reset windows. No major change in our innovation strategy. We think it's working very well for us, we think its right-sized, and we think it's delivering much more sustainable results.
Nik Modi: Great, I'll pass it on. Thank you.
Operator: Thank you. Our next question comes from the line of Michael Lavery with Piper Sandler. Please proceed with your question.
Michael Lavery: Thank you. Good morning.
Michele Buck: Good morning.
Steve Voskuil: Good morning.
Michael Lavery: You've talked about the increase in ecommerce sales, even if it might have decelerated a little bit, but it's up very strongly. You've said in the past that basket and dollar rings are higher online. Is that still holding true with the growth that you're seeing now? And on the margin side, you've mentioned that there's a small gap, but that you were narrowing it and that scale would help that. Is that coming along the way that would have expected, how does that look now?
Michele Buck: Yes, I mean we've generally seen larger basket sizes in general across most channels this year as people are doing fewer trips and more quantity per trip. So I think that's been somewhat of just an underlying dynamic given the pandemic impact in the marketplace. For us, on our ecommerce business, we've seen very significant growth across the board, but particularly in click-and-collect where people actually go and pick up their groceries, and also in the local delivery models as well versus kind of national deliver. The margins that we have are similar to what we see in bricks-and-mortar.
Michael Lavery: Okay, great. That's helpful.
Michele Buck: In those two areas -- excuse me, in those two areas where we have similar products, obviously, that we sell in bricks-and-mortar.
Michael Lavery: Right.
Michele Buck: Steve, anything you want to add?
Steve Voskuil: Yes, I would say is that, we've said in the past, that overall, ecommerce margins are a little bit dilutive, and it's there, as Michele just said, in click-and-collect and local delivery very similar, not much impact, and that's probably two-thirds of our ecommerce business. The piece that is more dilutive is the ship-to-home, and in particular cold ship, and that's an area where we continue to work with our customers and look at our overall investment with those customers and joint business planning to drive efficiencies over time so that those margins align.
Michael Lavery: Okay, thanks, and I just want to follow up on S'mores. I thought that your data analysis and insight there to push that the way that you did was interesting. As you're seeing cases rise again now are you replicating that? Are you seeing similar results? Is there a S'mores surge we should expect, and that would be it be right to assume that those Hershey Milk Chocolate Bars are probably some of the highest margin ones that you have?
Michele Buck: So we have really expanded S'mores from at one point it was a very focused time of year to really capturing S'mores as a year-round opportunity especially if you think about how different weather is across the entire country. There are lots of opportunities to continue to expand that. So we're very focused on that. We're also very focused on the upcoming baking season, where we know that consumers will be spending time at home. It's already a natural baking season, and so, we'll be looking to really optimize what we're able to drive leveraging insights around that season as well. 
Michael Lavery: Okay, great. Thanks a lot.
Operator: Thank you. Our next question comes from the line of Bryan Spillane with Bank of America. Please proceed with your question.
Bryan Spillane: Hi, good morning, everyone. So just one question for me, and I think there was a little bit of a commentary in the prepared remarks about some -- inflation in cost of goods sold. So maybe, Steve, could you just give us a kind of a lay of the land right now in terms of what commodity costs, and just cost of goods inflation looks like currently? In the context it seems like freight costs are going up. You've had some competitors talk about cocoa prices going up. So, just trying to get an understanding of directionally where inflation is headed right now.
Steve Voskuil: Sure. Yes, for us, I'd say overall, it's been relatively stable; so, on the commodity side, relatively stable. You saw big movements in commodities across Q2 and Q3, and of course we've talked in the past week -- mitigate some of that volatility with our hedging program, and I would say today they're fairly stable. There are increases in freight costs. There too, our team do a great job of longer term contracting which helps mitigate some of that increase. So, that hasn't been a real material impact for us. We have seen some increased warehousing cost, and part of that's volume and flow through along with the share gains and the volume increases that we've seen. So, we called that out in the prepared remarks, but in total, at least sitting at this point, we'd say overall COGS is fairly stable, and we'll get more guidance on 2021 when we get onto the fourth quarter call.
Bryan Spillane: But, I guess we could infer from that, at least from where we sit today that at stable -- is something that looks like it kind of carries into next year unless something changes.
Steve Voskuil: Yes, I think that's fair. Next year, as we get the -- you're going to have the 2020 and 2021 crops of cocoa start to bear the LID. So, there's that to consider, and then, there's other things obviously on the gross margin side as Michele said, a little bit more volume-driven than price-driven mix driving growth margin, next year we'll have our continuing productivity goal, and again, a lot more on that to come when we talk on the fourth quarter call.
Bryan Spillane: All right, thanks, Steve. That's very helpful. Have a happy Thanksgiving everyone.
Steve Voskuil: Thank you.
Michele Buck: Thank you.
Operator: Thank you. Our next question comes from the line of John Baumgartner with Wells Fargo. Please proceed with your question.
John Baumgartner: Good morning. Thanks for the question.
Michele Buck: Good morning.
Steve Voskuil: Good morning.
John Baumgartner: Michele, I like to follow up on the Reese's snack cake. You mentioned that it's small right now, but Hershey went down this path about 15 years ago, and it didn't really translate into anything material. So, I'm curious what the data tells you in terms of changes in the landscape now. Does this maybe mark a new phase of the snack section evolution? I guess where do you think it slots in? I mean does it compete against the Twinkies or cookies, just where's the target market? Any big picture of thoughts would be appreciated.
Michele Buck: Yes, absolutely. So, I think we've approached this in a very thoughtful and measured way, which was not a mass launch where we just threw it out there and tried to make it as big as we possibly could at one point in time, but we did a very targeted in-market launch for an extended period of time, so that we could really learn about the proposition. We spent a lot of time in terms of developing the product to make sure that we really understood some of the drivers of liking in the snack cake area, and we also really thought about where and how we wanted to play and launch. So, this for example is very C-store focused. It is a single serve type of item. So, we're keeping it as a focused launch. It is definitely bringing the great chocolate and peanut butter taste profile that we have on Reese's to the snack cake market. So, yes, it is playing in that snack cake area versus other snack cake brands. We know that -- we had participated in this category for many years through licensing, and we learned through that that our brands could participate, and extend to the category. We also know that morning snacking has been a growing trend, and our confection items skew more to afternoon and evening. So, this is a chance for us to participate in some of that growth because that is where these snack cakes get utilized. So, again, we're going to be very focused throughout, and we'll put it in locations where we think we can garner incremental space, and where we think there's a strong consumer fit, and starting at c-store and looking at other select areas, and then, if it continues to perform well, we will expand, but we will watch it closely and take a measured approach.
John Baumgartner: Great. Thanks, Michele.
Michele Buck: Sure.
Operator: Thank you. Our next question comes from the line of Alexia Howard with Bernstein. Please proceed with your question.
Alexia Howard: Good morning, everyone.
Michele Buck: Hi, Alexia.
Steve Voskuil: Good morning.
Alexia Howard: Hi, Buck. Can I just talk about the C-store channel specifically? It's obviously been under pressure because of the pandemic, but I imagine that that happens in sequential improvement, and [May] [ph], could you maybe just give us some numbers about how that channel is recovering?
Michele Buck: Absolutely. So, as you said, we've continued to see strength in food, and mass, and dollar as consumers eat more at home. The c-store class did see a bit of recovery in the third quarter. So, we saw the business grow in the low single digits in the third quarter, which is definitely an improvement versus those early pandemic trends. It did then slow a little bit as summer ended and those summer road trips decreased with kids going back to school. Our business has tracked pretty much in line with the channel, and significantly ahead of the category. So, we have share gains of about 120 basis points in Q3 in that channel. So, I'm seeing some rebounds and some recovery versus where it was in the past as people are out and about a little bit more than they were.
Alexia Howard: Great, and then, as a follow-up -- follow-up actually on Bryan Spillane's question about freight costs, I remember back in 2018 as freight costs spiked back then, that was quite a bit of a headwind for you. It seems as though it's not pretty much of a problem this time around. Are you able to tell us roughly what proportion of COGS freight actually represents, and how much of that is already contracted out, and what you've learned since 2018 to make the situation this time around a bit more manageable? Thank you.
Steve Voskuil: Sure. So, yes, freight costs right now, we don't see as a material impact as it continues to rise, it will have a bigger impact right now again because we're contracted and our teams do a great job of managing those contracts, it's not having as material of an impact. It's roughly 10% of COGS overall. So, it's not in material, but right now, not seeing enough movement there given the contracting to really drive a material dock on overall COGS.
Alexia Howard: Great, thank you very much. I'll pass it on.
Operator: Thank you. Our next question comes from the line of Jonathan Feeney with Consumer Edge. Please proceed with your question.
Jonathan Feeney: Good morning. Thanks very much, and thanks for a great Halloween, personally and professionally, you know, the leanest of my financial ambitions has been to give out full-sized candy bars, which I was again able to execute. So, thank you. Two quick ones; I noticed in the data, your pricing in North America is plus 19 on the take-away, plus 33 is what you reported. Is that just the math or is there some shrinking or different mix within retailer margins there is my first question. And secondly, historically, when you look at -- today's velocity is generally tomorrow's distribution and your velocity has been fantastic. This is a weird year. A lot of people's velocity is fantastic, but do you anticipate gaining shelf space in that everyday place -- you look at these baking items, you look at these take-home items, like this is phenomenally better velocity, forget about just the total sales that you're seeing there. You anticipate significant share gains, perhaps structural ones, I'm talking share of shelf here as retailers do resets for holiday and -- going forward. Thank you.
Michele Buck: Sure. So, two parts to your question, the first was around price and some of the discrepancy, and yes, there is a mix impact. Honestly, it might be best if Melissa goes and takes you through a deep dive on that because there's some complexity associated with it, but the P&L is definitely accurate. As it relates to velocity, yes, good velocity -- I like your phrase today's velocity is tomorrow's distribution, I do think that's very accurate. As we look at the seasons, you asked about holiday, we certainly have been able to garner incremental distribution, incremental SKUs throughout the year both in terms of everyday and seasons because we've been able to deliver, and the items that we then put on shelf, not only could we supply them but then they moved. So, we do feel good about that. We'll continue to take a very disciplined approach, and be very careful that we don't over-skew. So, we really have to look at the productivity of every skew, and as long as it's good, we will be there, but yes, we have been able to gain some distribution, and going forward, I anticipate that we will continue to be able to perhaps even through the first quarter of next year.
Jonathan Feeney: Thanks very much, and I'll follow up with Melissa.
Michele Buck: Very good.
Operator: Thank you. Our next question comes from the line of Ken Zaslow with BMO. Please proceed with your question.
Ken Zaslow: Hey, good morning, everyone.
Michele Buck: Good morning, Ken.
Ken Zaslow: I just have one quick question. Everything has been asked and answered. You made a reference in the prepared remarks about [indiscernible] is tracking ahead of your strategic plans. Can you talk about what are the key learnings that you've developed through your years as a CEO that has really helped you kind of make this a better acquisition and implement it? What are your key learnings, and what do you take forward to future acquisitions?
Michele Buck: Well, so, I think a lot of learnings along the way, I guess I would start with there's a business model for brands that we as a company are best with, and that is branded items where -- brand matters, where the business has significant scale, probably close to that $100 million mark, and it needs to be a business that has a high growth margin because that's what our business model is. We're a branded company, we invest a lot in marketing, and we have high margins that enable us to kind of invest and grow, invest and grow, and that's our model. That's what we need. So, I think that was one of the biggest learnings was to help us select the asset. I think secondly, really understanding the strengths of the brand and really being able to do the right deep dive on which KPIs we think predict the ability for a brand to scale, and then, I would say really trying to scale the business well, and I would say hey, we've learned lessons the whole way along the way. As you know, in the past, we bought some businesses that were too small, we bought some businesses that had lower margins, and we had some that we perhaps didn't execute on the scaling as well, and I think we've had a very focused effort on the scaling as well, and we've gotten much better at that relative to supply chain, relative to the talent that we need when we buy a company like this where we want to keep the entrepreneurial spirit, we want to keep people who know the brand and the business, but we also have to be focused on the point that -- we're also at a point where we want to scale the business. I mean I'd go back to the scale, the branded nature, the high margin are probably the biggest ones, and then picking the right underlying KPIs that say it's a sustainable business, because if we can do that, we can make in some.
Ken Zaslow: Great, I really appreciate it. Thanks. Stay well.
Michele Buck: Thank you.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Ms. Poole for any final comments.
Melissa Poole: Thank you all for joining us this morning. I will be available after the call to answer any additional questions you may have. Have a great day.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.